Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Good morning. My name is Brent, and I will be your conference operator today. At this time, I would like to welcome everyone to the Equitable Holdings Full-Year and Fourth Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question-and-answer session. [Operator Instructions] 00:37 It is now my pleasure to turn today’s call over to Isil Muderrisoglu. Please go ahead.
Isil Muderrisoglu: 00:45 Thank you. Good morning and welcome to Equitable Holdings full-year and fourth quarter 2021 earnings call. Materials for today’s call can be found on our website at ir.equitableholdings.com. 00:59 Before we begin, I would like to note that some of the information we present today is forward-looking and subject to certain SEC rules and regulations regarding disclosure. Our results may materially differ from those expressed in or indicated by such forward-looking statements. So, I’d like to refer you to the Safe Harbor language on Slide 2 of our presentation for additional information. 01:24 Joining me on today’s call is Mark Pearson, President and Chief Executive Officer of Equitable Holdings; Robin Raju, our Chief Financial Officer; Nick Lane, President of Equitable Financial; and Ali Dibadj, AllianceBernstein’s Chief Financial Officer and Head of Strategy. 01:42 During this call, we will be discussing certain financial measures that are not based on generally accepted accounting principles, also known as non-GAAP measures. Reconciliation of these non-GAAP measures to the most directly comparable GAAP measures and related definitions may be found on the Investor Relations portion of our website in our earnings release, slide presentation, and financial supplement. 02:06 I would now like to turn the call over to Mark and Robin for their prepared remarks.
Mark Pearson: 02:11 Thank you, Isil. Good morning, everyone, and thank you for joining our call today. We are a business that exists to meet the need for retirement planning, income protection, and asset management. Over the past two years of the pandemic, these needs have been amplified. The ability of Equitable Holdings to meet these needs is unique. 02:31 We provide advice to our affiliated distribution, we have leading retirement franchises, and we have our premier asset management subsidiary AllianceBernstein. Our strategy of managing to economic realities and shifting to low capital intensive businesses has proven to be well suited to low interest rates and rising equity markets. 02:54 We are meeting both the amplified needs of our clients and building sustainable shareholder values. 2021 was a record year, as you can see on Slide 3, non-GAAP operating earnings were $2.8 billion or $6.58 per share, up 32% year-over-year. For quarter four, non-GAAP operating earnings were $649 million or $1.54 per share. 03:29 AB had a particularly strong year contributing $564 million of operating earnings to holdings, up 31% over prior year. Strong organic growth in our core retirement and asset management businesses resulted in net in-flows of $25 billion in 2021 and this combined with the benefit of market tailwinds resulted in assets under management going 12% to $908 billion, which is also an all-time record. 04:06 The balance sheet remains robust. We have an RBC ratio of approximately 440% and $1.6 billion of cash at the holding company. We successfully executed on our capital return program in 2021 returning $1.9 billion to shareholders, including an incremental $500 million of share repurchases associated with our legacy VA reinsurance transaction, and a $112 million of 2022 repurchases accelerated into the fourth quarter. 04:44 Earlier this week, our board authorized a $1.2 billion share repurchase program for 2022. As we continue to deliver consistent capital return with an expected 1.5 billion in the coming year of course subject to no significant deterioration in the market. Looking ahead, we welcome the implementation of LDTI accounting changes in 2023, because it will bring further transparency comparability across the industry and is close to our economic model. 05:22 The term economic is often referenced in different context across our industry. For us, and I think what is important, economic means two things: Firstly, setting reserves using actual interest rates that is the forward curve because this is what you can hedge; and secondly, economic needs fair value reserving assumptions based on actual experience. 05:49 We know that investors have been eager to understand more about the impacts of LDTI. Our economic approach to interest rates, where we make no bets and our strong reserves, not only aligned to the upcoming accounting changes, proposition us well for the transition. As of year-end, we anticipate the transition impact to be within AOCI. 06:13 If LDTI would implement today, it would mean a less than $2 billion adjustment to the GAAP book value, which today stands at $11.5 billion. We will provide further details for investors in the coming months, as we get closer to implementation. 06:32 Lastly, I am incredibly proud that Equitable achieved another milestone as a public company, while releasing our inaugural sustainability report in the fourth quarter. Conducting ourselves as a force for good has always been a part of our culture and the way we do business for more than 162 years, but of course, the need to show we meet to the needs of all stakeholders and help address some of societies inequalities has been significantly amplified in the past few years. 07:05 As of year-end, $60 billion of Equitable’s general account and $524 billion of AB’s assets, that is 64% and 67% of their respective totals now integrate ESG factors into the investment process. In July, EQH pledge to adopt UN’s principals for responsible investment. We also take our role seriously as an industry leader in risk management. This extends beyond our company to supporting advocacy efforts for more economic and robust practices that benefits policy holders and investors. 07:49 Turing to Slide 4, an important slide. This shows our unique business model and the results of our shift to capital-light businesses. As a result of the transformation in our retirement business, our legacy VA amounts to only 18% of retirement assets today. We have also improved the certainty of our cash flows through internal restructuring. Today, approximately 50% of our annual $1.5 billion cash flows is generated from non-insurance regulated entity. 08:25 We continue to leverage synergies between our two operating companies. The $10 billion investment commitment to AB not only improves the risk-adjusted return for our general account, but strengthens AB’s efforts to build out higher multiple businesses in the alternative space. 08:46 Within the Equitable Financial operating subsidiary, we have made tremendous progress to become a more diversified retirement company. We shifted retirement new business away from interest rate dependency and high living benefit guarantees through the launch of our innovative structured capital strategies protected equity product. 09:08 Q4 saw another record quarter of SCS sales, and as a result, we remain the Number 1 player in this fast growing wider market. Overall, gross sales from our retirement businesses amounted to $18 billion, up 30% from last year. 09:29 In addition to shifting the sales mix and in-force action, we continue to execute on our productivity and investment income priorities to further drive earnings growth. Our asset management subsidiary AllianceBernstein generated strong net inflows of $26 billion in the year across all three of its distribution channels, retail, institutional, and private wealth. This has resulted in a 5% organic revenue growth and a 1% fee rate expansion. 10:06 Importantly and looking to the future, AB has strong underlying investment performance with 89% of fixed income and 73% of equity assets outperforming this past year. AB was an early mover now has a strong brand recognition in the Asian markets. We see this as a particular area of differentiation and future growth. 10:31 Today, our Asia businesses represent 18% of AUM and 25% of annualized fees. AB has a proven track record of attracting and building out investment capabilities. Growing an initial seed investment within alternatives 4x to $23 billion per day. 10:53 We'll be looking to a multiplier effect with a 10 billion investment commitment we announced from Equitable. Equitable Advisors is a cornerstone of our strategy. Firstly, they are the major source of revenue growth within Equitable Financial. Our affiliated sales force contributes 70% of combined gross premiums and broker dealer inflows. 11:19 Secondly, they are key to our efforts to transform towards capital-light businesses. Within Equitable Advisors, our broker dealer continues to be a growth with an increase in assets under advice of 34% to $83 billion this past year, benefiting from strong flows, as well as favorable markets. 11:43 We now have over 500 wealth managers delivering valuable advice and solutions to our clients with full-year sales of $13 billion, 54% improvement over the prior year. 11:58 On Slide 5, I would like to briefly highlight the journey we've been on since the IPO on May 10, 2018, in shifting our business mix towards advice driven retirement and asset management. In retirement, we've done two important things: We’ve grown our business and substantially changed the mix. 12:19 Our core retirement business, the capital-light business has grown by 47% to $130 billion. At the same time, our legacy VA business has decreased by 40% to now less than [$30 billion] [ph]. We are now no longer dependent or significantly exposed to high guarantee living benefit annuities. 12:43 At AllianceBernstein, total AUM has grown 40% since the IPO with a 39% increase in fee based revenue. AB managed Equitable AUM has grown to nearly $130 billion and is 17% of total AB assets under management. 13:04 Finally, Equitable Advisors are meeting clients’ growing needs for wealth accumulation and retirement through a differentiated holistic financial plan. As a result, we are seeing strong organic growth in assets under advice, up 88% since IPO, with strong net inflows and favorable equity markets. 13:28 Turning to Slide 6. We were pleased to recently release Equitable in all growth sustainability report. There was a lot in the report, which can be accessed through our website. Underpinning everything though in the report is our belief that we can bridge profits with purpose. 13:47 I've already mentioned inclusion of ESG factors in our investment decisions, our clients are supporting this momentum, and now have 31.5 billion in AB portfolios with purpose, up 91% in the year. 14:02 At this time of remote working, we have invested in our people with over 30,000 training hours to adopt an agile design thinking framework to raise the metabolism inside the organization and we are also using this framework to improve our diversity, equity, and inclusion representation. 14:22 Key to our ESG approach is upholding stakeholder trust, including advocating for more robust industry practices. And we see the upcoming implementation of LDTI as a critical building block, which Robin will address on the following page. Robin?
Robin Raju: 14:41 Thank you, Mark. We are very supportive of the upcoming LDTI accounting reform, which will bring GAAP closer to fair value economics and will improve transparency and comparability for our industry. 14:58 On Slide 7, I would like to provide additional insights into how we beat the changes and how we are well-positioned for adoption. Before I do that, there key points to highlight. First, we expect that the impact to shareholder equity will be lower than our current AOCI balance, which was 2 billion as of year-end. 15:25 We also expect the impact will flow primarily through AOCI, taking into account year-end market conditions. Second, LDTI aligns well through our economic approach to managing the business, due to our conservative interest rate assumptions and fair value approach the setting actuarial assumptions. 15:50 And third, the enhanced LDTI disclosure, which we intend to provide in the early summer will support Equitable’s strong economic standing and competitive position in the market. I will now go through some of the drivers to provide additional details. 16:09 Our year-end estimates are primarily attributable through an uneconomic factors, non-performance risk or NPR. Under GAAP accounting today, our company's own credit spreads impact their liabilities. For example, as the company's own credit spread decreases, the company is required to hold more reserves, and vice versa, which is counter intuitive. We have seen credit spreads now over time, and the impact of NPR is currently reflected in net income. 16:43 While LDTI improved it by shifting this non-economic movement to AOCI, there is some potential sensitivity between now and the transition date in 2023. If credit spreads increased before the transition date, the NPR gains would ship from net income to AOCI. 17:07 Turning to retained earnings, we anticipate a limited transition impact based on our year-end market conditions. While SOP reserves currently account for two-thirds, of our GMIB and GMDB, the impact of fair value in those reserves is largely mitigated due to few offsetting items. 17:29 The first is a favorable offset from increasing our near industry low 2.25% GAAP interest rate assumption to the forward curve, which was 2.5% as of year-end. This demonstrates how conservative interest rate assumptions that Equitable had positions us well for the upcoming accounting change compared to our peers. The second is a minimal impact from aligning to the proposed LDTI discount rate. 18:04 Our current SOP reserve discount is similar to the future LDTI discount rate, as our discount rates takes into account the forward curve, and credit spreads. As I mentioned, the movement in MTR may change where the impact is reflected in the future between retained earnings and AOCI, but we expect our total impact to be less than our AOCI balance regardless. 18:35 Finally, we expect no impact to cash flows, given our hedging strategy is a line for a fair value economics. Under our current GAAP rules, hedging for our economic liability creates a majority of the accounting mismatch between net income and non-GAAP operating earnings. 18:55 Under LDTI, we expect that the asymmetry between our economic hedging and GAAP to be significantly reduced and items such book value, excluding AOCI will be more meaningful for Equitable and our peers. 19:11 I'm really excited about this transition to a more economic approach to GAAP accounting and the validation of Equitable’s economic approach to managing the business. We look forward to sharing further detail at an LDTI [indiscernible], early in the summer, including how disclosures will illustrate the strength of our economic assumptions backing our liabilities. 19:35 We are confident that this additional transparency will be good for the industry and will help investors better understand the risk they are taking when investing in different companies. 19:49 Now, let me turn to full-year results on Slide 8. We had a record year with our retirement and asset management business performing exceptionally well. As Mark mentioned, we reported non-GAAP operating earnings up 2.8 billion this year. Adjusting for non-recuring items in the year, our full-year earnings were approximately 2.5 billion. These strong results reflect AUM growth to a record 908 billion supported by net inflows of 25 billion and favorable equity markets in addition, to the continued mix shift to our capital life businesses. 20:34 Turning to our segment, individual retirement reported operating earnings less notable items of 1.4 billion this year. Excluding the impact of the legacy VA transactions, earnings have increased year-over-year. As you recall, we monetized 1.2 billion for shareholders with the close of the legacy VA transaction and significantly de-risked our imports. 21:02 Further supporting this successful mix is the continued strong performance of our capital-light offerings as we drive record sales and sustain our leadership position in the RILA market. 21:17 For the full-year, first year premiums were 11 billion, up 53% over prior year, which a level we haven't since 2008. The team finished the year strong, setting another record with 2 billion of SCS sales in the fourth quarter. We continue to innovate in-demand and economically sound solutions to help ensure our clients achieve their retirement dreams. 21:48 In Group Retirement, operating earnings less notable items were 596 million, up 26% year-over-year as we continue to benefit from strong equity markets. We reported gross premiums of 3.6 billion this year with year-over-year growth supported by both first year premiums, and renewal premiums, up 11% and 7% respectively. 22:16 We continue to see the benefit of our advisory leveraging technology to enhance client engagement. That said, our differentiative continues to be our worksite advice model with access to over 8,700 school districts and over 800,000 educators. And we began to see the benefit of this hybrid approach in the second half of 2021 as schools reopened in the fall. 22:44 In asset management. AB has continued to be a driver of capital-light growth for Equitable Holdings, with operating earnings up 564 million, up 38% year-over-year. Importantly, AB continued to drive organic revenue growth, supported by active net inflows of 27.6 billion positive across retail, institutional, and private wealth channels. 23:16 AB’s leadership position in Asia continues to support strong results with approximately one-third of AB’s total net inflows in the year attributable to that market. The continued positive momentum is a testament to the performance AB is delivering to our clients. With over 89% of fixed income and 73% of equity assets outperforming their benchmarks over the past year. 23:45 In addition, strong longer-term performance with fixed income and equities, outperforming their benchmark by 70% and 75% respectively over the past five year. And finally, in protection solutions, operating earnings less notable items were 277 million, up 39% over to prior year. 24:09 Our strategic pivot to more capital-light accumulation [BUL] [ph] drove year-over-year first year premium growth, up 99% in that product. And now represents approximately two-thirds of segment first year premiums this year, compared to only 40% in 2020. 24:30 Turning to the right hand side of Page 8, we have highlighted our success shifting the profile of our business towards more capital-light businesses. Since the IPO, we have improved earnings by 32%, while also improving a mix with continued growth in asset management and over 80% of retirement AUM in capital-light products to today. 24:53 Let me now turn to the fourth quarter consolidated results on Slide 9. Adjusting for notable in both periods, non-GAAP operating earnings were up from 638 million in the fourth quarter of 2020 to 691 million this quarter or $1.64 per share, a 70% increase on a per share basis. 25:20 We benefited from higher net investment income, performance fees, and base fee revenue on higher AUM this quarter, which partially offset a one-time litigation accrual and adverse mortality in the quarter, which remains in-line with our COVID guidance. 25:38 In the quarter, we reported GAAP net income, 254 million as we continue to see the impact of non-economic accounting treatment for our GAAP liability compared to a fair value hedging program. which performed as expected with a hedge effectiveness of 95% in the quarter. As I just discussed a few minutes ago, we look forward to the implementation of LDTI in 2023, which will eliminate much of this accounting asymmetry. 26:07 AUM was a record of 908 billion, supported by strong equity market and positive fourth quarter net flows of 7 billion, led by our asset management business. We have made good progress against our strategic priority delivering 31 million in [productivity days] [ph] and 90 million in general account yield enhancements this year. And we continue to deploy our 10 billion of committed invested capital from the insurance subsidiary to support growth in AB and alternative business. 26:42 This synergy enables us to build a high multiple business at AB, while generating favorable risk-adjusted yields for Equitable’s policy holders. We are excited about the potential for AB’s alternative business in the future. 27:00 Turning to Slide 10. Our strong capital and liquidity positions enabled us to successfully deliver on our 2021 capital management program. Throughout the year, we returned 1.9 billion to shareholders with 540 million occurring in the fourth quarter. This return was supported by a closing of our legacy VA reinsurance transaction in June of last year, which returned an increment of 500 million, and 112 million of 2022 repurchases that we accelerated into the fourth quarter. 27:36 We closed the year with 1.6 billion of cash at the holding company, and a strong RBC ratio of 440% each well above their respective targets. Our successful shift towards capital-light business model and our internal restructuring has increased unregulated cash flows, giving us confidence in our dividends to holding company with approximately 50% coming from non-regulated entities. 28:04 In 2022, we expect a lead to 1.5 billion in subsidiary dividends to support our capital return strategy. Further, our strong financial position allows us to a 1.2 billion repurchase authorization from our board as we continue to execute on our stated capital management target, delivering consistent capital returns, up 50% to 60% of non-GAAP operating earnings under normal market conditions. 28:35 I'll now pass it back to Mark.
Mark Pearson: 28:38 Thank you, Robin. Before we turn to your questions, I would like to reiterate some highlights from our full-year and fourth quarter results. First, we delivered another year of record results, supported by the societal need for our products and services and strong equity markets. 28:57 Second, our unique business model, pairing retirement, asset management and advice, drives our strong capital position and enables us to consistently return capital to shareholders. As a result, we are pleased to announce a new authorization to deploy $1.2 billion for repurchases in 2022 and targeted total capital return of 1.5 billion this year. 29:26 Third, our fair value economic framework positions us well for LDTI implementation. Aided by our economic approach, we expect our LDTI transition impact to be within AOCI, which is $2 billion as of year-end. 29:44 And lastly, Equitable is committed to being a force for good, and we will continue to be a strong advocate for robust industry practices aligned to economic realities, with that, I'd like to open the line for your questions.
Operator: 30:05 [Operator Instructions] Your first question comes from the line of Elyse Greenspan with Wells Fargo. Your line is open.
Elyse Greenspan: 30:21 Thank you. On capital returns, you gave us the 1.2 billion authorization for the year, how should we think about just the cadence between the quarters and would it just be more active depending upon your share price?
Mark Pearson: 30:41 Good morning, Elyse. Thank you for the question. As you recall, we returned 1.9 billion in 2021 that included [hundred and so million] [ph] of accelerated share repurchase that we're counting towards 2022. And the 1.2 billion future authorization that the board approved this year, allows us to continue to execute against our 50% to 60% capital return under normal market conditions. Expect us to be in the market consistently throughout the year and the authorization that the board gives us allows us to adjust flexibility to program if we see any share price deviations as well.
Elyse Greenspan: 31:13 And then on thinking about [indiscernible] relative to that 50% to 60%, you would look at the [1.5 plus the 1.12] [ph] that you pull forward as putting you within that 50% to 60% target, correct?
Mark Pearson: 31:27 That's right.
Elyse Greenspan: 31:29 Okay. And then in terms of protection solutions, you guys have been running with earnings of around 75 million on an adjusted basis. And I think last quarter you had said, you could see there with some – with more elevated mortality, you were just below this quarter. So, just how should we think about the earnings trajectory for protection solutions just given that we're probably at lease for a little bit longer in elevated mortality period?
Mark Pearson: 32:08 Sure. So, we increased the guidance to 75 million last quarter. That's a result of continued productivity in the business and benefiting from the [GA rebounding] [ph] that we've done throughout the years. With that 75 million what we said expect volatility around that 75 million, up or down as mortality evolves. 32:30 In the quarter, if you look on a normalized basis, excluding the elevated mortality related to COVID and the alternative benefit, we ran about a 92 million normalized earnings for the quarter. 32:43 The COVID guidance, you know we're saddened by the continued debt related [Technical Difficulty] U.S. debts.
Elyse Greenspan: 32:50 Okay. Thanks for color. Your next question is from the line of Ryan Krueger with KBW. Your line is open.
Ryan Krueger: 33:01 Hi, good morning. Thanks for the LDTI impacts. I guess, I'll be greedy and ask for one more thing [indiscernible] how it may impact GAAP operating earnings? Can you give any comment on [Technical Difficulty] the potential impact there?
Mark Pearson: 33:27 Sure, Ryan. Let me first start by emphasizing what I mentioned earlier. Our economic approach to managing the business and fair value approach to setting assumptions allows us to have a limited impact on the transition balance for LDTI, as it aligns well through our fair value approach in our economic model. 33:51 The ongoing operating earnings and some of the other details with the LDTI, you will have to wait till our – and we expect the economic earnings of this business to continue to grow based on the strong fundamentals we see across all of our business lines under our EQH.
Ryan Krueger: 34:08 Got it. Thanks. And then could you give an update on your efforts to mitigate the remaining [indiscernible] impact, and if you think you can get that offset by the end of 2022?
Mark Pearson: 34:24 Sure. So, as you recall, we took significant action during the year. It started by receiving the primitive practice from the regulator, restructuring, the insurance company cash flows where 50% of the cash flow is going forward of that 1.5 billion will be unregulated and we just completed and closed in December, the [triple x] [ph] reinsurance transaction, which allowed us to unlock 1 billion of value decreasing the redundant reserves of [indiscernible] to about 1 billion going forward. That remaining billion will be phased in over the next several years. 34:58 So it gives us time and flexibility to continue to explore internal and external reinsurance opportunities if they are accretive on an economic basis and drive value to shareholders. We are targeting and we continue to be adamant about pursuing all options on the table and expect that to continue to address it as the year goes by.
Ryan Krueger: 35:20 Thank you.
Operator: 35:24 Your next question is from Tom Gallagher with Evercore. Your line is open.
Tom Gallagher: 35:31 Good morning. First question, Rob, and if I go back to the second quarter, you're estimated – you haven't taken any dividends out, but I know there's been a lot of movement [Technical Difficulty] things like C1 and other things going on, but curious if you can comment on what happened to organic capital generation and both for, I guess, non-insurance and insurance over that period of time?
Mark Pearson: 36:03 Sure. So, organic capital generation and again, business fundamentals are very strong during the year. There are a few things that change from a statutory basis. As you recall, as I just mentioned [Technical Difficulty] to a holding company. So, that is no [Technical Difficulty] resolved. From an RBC perspective during the year, as we continue to shift to general accounting [Technical Difficulty] did see an increase in the C1 [Technical Difficulty] reform capital charges that had about an 18 point impact on RBC as of year-end. But if you exclude that and exclude the mortality, we still see strong cash flow generation in the insurance company. 36:49 It should translate to about 750 million in an annual basis and then AllianceBernstein and our unregulated cash flows posted to a holding company, making up the rest of the 750 to bring the total to 1.5 billion to the holding company.
Tom Gallagher: 37:06 Got it. That's helpful. What is your [Technical Difficulty]
Mark Pearson: 37:08 As I mentioned in the call, it's going to be 1.5 billion across all of our subsidiaries, and we expect the [Technical Difficulty].
Tom Gallagher: 37:17 Got it. So, based on how year-end stat, but do you think the allowable normal dividends will be over 750 million or is that still not clear?
Mark Pearson: 37:33 That's what I expect. [Technical Difficulty] In a few weeks as we'll have that number [Technical Difficulty] 150 million bringing the total 1.5 billion.
Tom Gallagher: 37:44 Got you. And just one last one if I could, the LDTI book value impact that you mentioned, the less than 2 billion, you mentioned that was year-end 2021 when [Technical Difficulty] would it make much of a difference if you were to mark that to market today? I assume we go down, but if so, if you could sensitize it at all, would it be meaningful? And then, when you implement the initial 2023, will you be using rate levels from year-end 2021 or what period do you use the initial implementation interest rate from [Technical Difficulty]?
Mark Pearson: 38:40 Sure. So, Tom, the good thing about LDTI again, it's fair value. So at point of transition, it moves to the rate that that specific period. Overall, that's the benefit of fair value and that's where we hedge our balance sheet. The impact as of year-end, we said it's less that to 2 billion AOCI balance, and it's across the industry. 39:00 It will be sensitive to equities, interest rates, and credit spreads. Those are probably the three biggest sensitivities, where we sit today, it is lower than what we've – the number we had as of year-end, but it is sensitive to those three elements. So, we'll continue to give updates as the year progresses. 39:20 Keep in mind; those liability numbers may move. They're always going to be within the AOCI balance we believe, and we have derivative gains that offset that potentialize the business.
Tom Gallagher: 39:33 Okay, great. Thanks.
Operator: 39:37 Your next question is from Andrew Kligerman with Credit Suisse. Your line is open.
Andrew Kligerman: 39:48 Hey good morning. So, in individual retirement, another outstanding quarter in terms of volumes, I think buffer the SCS product was up 36% year-over-year. Wondering if you could, just given the incredible competition that's plugged feature that the most current SCS stands out for or is there some new distribution that's driving this growth, maybe you could give a little color behind this robust sales growth?
Mark Pearson: 40:27 Thanks Andrew for the question. We have Nick Lane here, today he heads up all of our commercial lines. We’ll give Robin a little bit of rest and let’s pass it to you Nick.
Nick Lane: 40:36 Great. Thanks Mark. First, as you mentioned core results are strong, positive 2.5 billion for the year, 500 million for the quarter. Sales up 55% and another record SCS, you know what is sustaining and elevating that? First is our differentiated distribution position, both Equitable Advisors, as well as our third-party partnerships? We've been there from the beginning with consistent strong relationships. As we highlighted in the past, we continue to innovate in that space relative to new functionalities such as [to direction] [ph]. So, we're confident that we will continue to maintain our position going forward and help consumers navigate these volatile markets.
Andrew Kligerman: 41:31 You mentioned new functionalities such as dual direction, could you give a little more color on that?
Nick Lane: 41:36 Sure. Dual direction is an enhancement to the segment the clients can address relative to their perception of the markets. So, as you know, we provide upside protection, upside potential with downside protection, but all these new segments are perfectly ALM matches and we've been a leader and getting feedback from our clients and advisors on what they're looking to invest in.
Andrew Kligerman: 42:17 Ask you look for Reg 213 solutions and understand that 18% of the individual retirement block is only legacy VA, what areas of business are you talking to potential, looking at for potential solutions? Is it possible to move the legacy, the remaining legacy VA given its housed in New York? Are there very different product areas, as you did with [Reg XXX] [ph], what areas are you looking at to solve for this 213? And maybe what's the interest level in working with you on it?
Mark Pearson: 43:05 Sure, Andrew. I think the way to think about it is, we're looking at across being forth all products and where we can drive economic accretion in gains relative to an external internal transaction. That's why we started with the XXX reinsurance transaction. We don't always have to just address the VA book. 43:25 If there are opportunities to reduce that 18% legacy AUM further that economically accretive will certainly execute that, but if there are opportunities across other lines as well, we'll have a look, but everything is on the table as we continue to address the redundant reserves, but it needs to be economically accretive for shareholders.
Andrew Kligerman: 43:46 Yeah, I like accretives. Thanks.
Operator: 43:52 Your next question comes from the line of Tracy Benguigui with Barclays. Your line is open.
Tracy Benguigui: 43:59 Thank you. Good morning. Sorry. Lost the connection a little bit. Okay. Hold on. Bear with me.
Mark Pearson: 44:15 You're coming through clear, Tracy.
Tracy Benguigui: 44:18 Okay. Yes. So one of your competitors talked about policy holder appetite [indiscernible] buyout program, and, I’m curious if you can show your thoughts on the economics of offering these ones on payments to annuity holders [indiscernible] perhaps accelerate efforts to producing the proportion of capital intensive business or if that could help in any way reduce Reg 213 redundancy reserves? But I heard others in the past, they are less expensive.
Mark Pearson: 44:48 Sure, Tracy. You know, buyout of legacy annuity policies were one at a first de-risking actions we deployed back in 2011. We've executed that along with moving the majority of that legacy AUM to passive index funds. Those were key de-risking levers that we utilized over 10 years ago and that led us to the successful de-risking for the Venerable transaction. 45:13 So, that playbook had been utilized here already and now we're focused really on external and internal reinsurance as potential opportunities as that can really drive accretion for shareholders.
Robin Raju: 45:27 I think we've had three programs or buyback over the last ten years. So, it's something we’re aware of, we've acted on. It's been successful for us, but we've moved on a bit now. We're looking at reinsurance in other ways to de-risk.
Tracy Benguigui: 45:43 Great. Thank you. I know it's been asked already, but just wanted to touch upon your COVID losses, particularly, what we've seen is a shift in age cohort, now there's a little bit more of a bias on the older population, the 4Q versus 3Q. I'm wondering if that has anything to do with you running your losses a little bit higher into the range? If you are going to pass [indiscernible] the bottom end of the range. And if you could also share, if you received any benefit from a longevity offset this quarter, maybe individual retirement?
Mark Pearson: 46:16 Sure. Again, I just want to emphasize, as I mentioned earlier, we are saddened by the fact that the pandemic still impacts many to people that we interact with and so many of our clients that we have, but it also shows the benefit to the products that Equitable Holdings have to offer in providing protection needs for American consumers. 46:38 In the quarter, as you saw fourth quarter mortality in the U.S. was elevated versus third quarter, and we did see some [big comment older age] [ph] debt which we do have exposure to older age policies, but if you exclude that for the full-year, we are in the middle of our COVID guidance that we provided to the market and that's where we'd expect to be going forward.
Tracy Benguigui: 47:04 Okay. And then maybe on the longevity offset, are you see any of that?
Mark Pearson: 47:08 We did not in the quarter.
Tracy Benguigui: 47:11 Thank you.
Operator: 47:15 Your next question comes from the line of Alex Scott with Goldman Sachs. Your line is open.
Alex Scott: 47:23 Good morning. First question I had is on the flow reinsurance market. I think you made some comments already about potential block deals. I'd just be interested in your view on the flow reinsurance market and it seems like there's some new third parties popping up there and how do you view using that as a potential lever to increase cash conversion?
Mark Pearson: 47:51 Sure. Thank you, Alex. You know, as – and Nick mentioned it earlier, the products that we write today are all capitalized, very efficient, and generate good economic value for shareholders. So, when we think about levers, flow reinsurance is in one of them that we consider as an opportunity to benefit our shareholders because we'd essentially be passing some of the value that we have for shareholders to someone else. 48:15 The products that we write today are economically found, assumptions are based on current experience and their ALM matched. So, as a result, we don't need to pass on the value to others. And so, we fully believe in the products that we write today in the value that they generate and we want to retain those for our shareholders.
Alex Scott: 48:35 Got it. Thanks. And as a follow-up, I guess, just on inflation, I know from a capital standpoint, and if rates were to move higher, that's an obvious benefit I think for variable annuity companies generally, but just thinking more specifically about expenses, can you help us think through wage inflation and some of the pressure there and if we should expect to see anything in 2022?
Mark Pearson: 49:00 Thanks Alex, it's Mark. Yes, we – obviously two things. Firstly, our focus will be on expenses and making sure that we can identify productivity improvements to offset any inflation. Hasn't really hit us up to the end of 2021, but we’re alert and watching it closely. I think the other thing to say though, Alex is the types of products that we offer, you know the right to talk about internally of all-weather products. 49:30 So, if you look at some of the things that AB offers in ultimate and real assets, this can be attracted to consumers and as Nick has just explained, on some of the products we've got like SCS and dual direction that can help consumers. So, we look at it three ways. As you say, balance sheet first, making sure we’re [indiscernible]. 49:52 And secondly, productivity to offset per share on inflation if it comes, and then thirdly what other products we can help our clients with helping them and economically sound for us as well. So, that's how we think of inflation.
Alex Scott: 50:08 Thanks.
Operator: 50:13 Your next question is from the line of Jimmy Bhullar with J.P. Morgan. Your line is open.
Jimmy Bhullar: 50:19 Good morning. I had a couple of questions. First, on the group retirement business, I guess with the SEC settlement that you're going to pay a fine and then increase disclosure, but do you see any sort of ongoing impacts of this either on your business or on competitors that greater disclosure leads to maybe fee pressure or something else, but any comments on how you – whether you expect any ongoing impact from this?
Mark Pearson: 50:46 Thanks Jimmy, it's Mark. Yes, we've been incorporated with SEC on that industry wide investigation. As you know, that's been on for a little while here. I think you are also aware of settlement into buy some of our peer companies as well on this one. And we have, as you say, reached the settlement in principle on it as we go. And it is around our quarterly account disclosure statement. 51:17 Obviously, we disclosed our fees and charges in our perspective. The SEC would like us to be clearer if you like on the statements and we fully agree we should be as clear and as transparent as we possibly can. Look, we're very proud of the service we offer to our teachers. 51:38 If you look at the fee income, what does it cover? It really covers the advice we give, of course, we know that teachers who receive advice end up with 49% more in their retirement accounts than those teaches that don't get advice. So there’s really, really a benefit to teachers. In addition, of course, we help them with getting teachers into the right investment solutions. We help them with loan forgiveness. They do have access inside their funds to safe harbor funds, guaranteed funds, if the market gets too rocky. So, I think the way we look at this Jimmy, do we justify our fees and we are very confident that we do. We can see the benefits [indiscernible] teachers.
Jimmy Bhullar: 52:28 Okay. And then on the SEC product and just a buffer annuity market in general, there's a lot of other companies that have come out with similar products and you – so obviously the market is a lot more crowded than it was, but are you seeing the other companies be rational in terms of terms, conditions, and the benefits that they're offering or are some of them being aggressive on features as well?
Nick Lane: 52:53 Great, this is Nick. Currently we're seeing rational pricing out there. We continue to see growth in this space both driven by the demographics and volatile markets. And as we've said, we think competitors entering helps validate the solutions for advisors and consumers out there.
Robin Raju: 53:14 And Jim you remember, anybody can copy our product, but they can't copy our distribution through Equitable Advisors and the third-party affiliated agreements that we have. So, that’s are differentiator and that's what makes us win in the market.
Jimmy Bhullar: 53:28 Thank you.
Operator: 53:31 Your final question comes from the line of Suneet Kamath with Jefferies. Your line is open.
Suneet Kamath: 53:38 Great. Thanks. I wanted to start on Slide 8 that lower pie chart there, just to make sure I'm reading this right. Are you basically saying that the legacy VA block is about 15% of total company earnings maybe a third of individual retirement earnings? Is that kind of in the ballpark?
Robin Raju: 53:58 Yes. What we said is in the slide and what you see is the legacy VA is about 18% of our retirement AUM. And that's the function of the historic de-risking, but also the good core flow that we received. 2.5 billion in the year, up 20% year-over-year. From an earnings perspective, we haven't disclosed earnings by specific products and we won't enhance disclosures until post LDTI, and we'll look to provide greater clarity, but if you wanted to take a look at something right now, the best we can give you is AUM as a ballpark. So, that's probably the right way to look at it right now.
Suneet Kamath: 54:35 Okay, got it. And I guess Robin, I haven't heard anyone else use the words excited in an LDTI in the same sentence and it sounds like you're going to provide a lot more disclosure, I guess in your early summary, is that, is your view that this is just going to shed a new life on how people think about your individual retirement business? Because when I think about like the valuation of the company to me, that's always been the biggest source of upside if people just get a better handle on the risk profile of this block. Is that kind of what you're leading us towards?
Robin Raju: 55:10 Yes. I think that's right. I think there's two issues Suneet. Excitement and accounting change is not normally two words you put into one sentence, but look, why we say that is number one, go back to Jimmy’s question earlier. Is there rational pricing? We would argue very strongly that the current accounting basis, but particularly where you can use a reversion to being on interest rates, can high [indiscernible] pricing, we think that's wrong. We think that people are pricing rationally. It should be disclosed as such. 55:48 It's up to every insurance company where they want to price, but it shouldn't be hidden by the accounting system. And secondly, companies that have hedged their book to real economic liabilities we would argue, we should have less capital needs than those who don’t. 56:09 Of course, management teams have to decide the risk they want to take, but it should be disclosed properly. We are not saying us is the only way or the best way, but we are saying you should disclose it probably so that investors can make an informed choice. That's why we're excited about it. The disclosure leads to better comparability and a recognition of economically what's happening.
Suneet Kamath: 56:32 Okay. Got it. And maybe I’ll sneak one more in real quick. Just on the wealth management segment, we can see the account value growth or AUA growth, but we can't really see the organic growth. So, can you maybe just give us a sense of what the organic growth looks in that business and maybe how it's tracked over the past few years?
Robin Raju: 56:52 Great. Thanks for the question. We're very pleased with the progress we’re seeing the Wealth Management segment. As you highlighted [234%]] we're now at 83 billion. In 2021, we had 3 billion of gross sales, we've originally expressed as we enhanced our disclosures, when the AUA ranges got to about 125 billion with VA meaningful segment and these target and aspirations [saw all true] [ph].
Suneet Kamath: 57:28 Alright. I'll follow-up. Thanks.
Operator: 57:34 There are no further questions at this time. Ladies and gentlemen, thank you for your participation. This concludes today's conference call. You may now disconnect.